Operator: Good afternoon, ladies and gentlemen. And welcome to the GreenBox POS Second Quarter 2022 Earnings Conference Call. During todayâs presentation, all parties will be in a listen-only mode. Following managementâs remarks, the conference will be open to questions.  The earnings press release accompanying this conference call was issued at the close of the market today. The quarterly report, which includes the companyâs results of operations for the three months ended June 30, 2022 was filed with the SEC today.  On our call today are GreenBox POS Chairman, Ben Errez; Chief Financial Officer, Ben Chung; and Chief Operating Officer, Min Wei.  Iâd like to remind everyone that statements made on todayâs call and webcast, including those regarding future financial results and industry prospects, are forward-looking and maybe subject to a number of risks and uncertainties that could cause actual results to differ materially from those described in the call. Please refer to the companyâs regulatory filings for the list of associated risks. The replay of this call and webcast will be available for the next 90 days on the companyâs Web site under the Events section. At this time, I would like to turn the conference over to Mr. Ben Errez, the companyâs Chairman. Ben, the floor is yours.
Ben Errez: Hello, and thank you all for joining us today for our second quarter 2022 financial results conference call. We are delighted to announce that our second quarter of 2022 at GreenBox was marked by excellent financial results, along with steady progress on several key initiatives that further establish our standing as an emerging force on the fintech landscape. We achieved yet another company record quarter processing volume of over $1 billion, more than double the volume versus the same quarter a year ago. As many others believe, we too consider processing volume as the best proxy to predict our growth trajectory in the global digital financial transactions industry, in addition to amazing processing volume results. We also accomplished a number of critical operational objectives, as well as strategic partner and customer enhancements. During the second quarter, we strengthened our core business infrastructure within the sales, marketing and operational functions, introducing our products in select territories, such as American Samoa, and made excellent progress on development of Coyni, our stablecoin platform. We additionally integrated material business capabilities from recent M&A, such as Transact Europe to launch service offerings in several business domains, including ACH, foreign exchange and international payment. Despite the challenging  environment, we remain hyper focused on execution of our business plan for the balance of the year in order to continue growing processing volume and share of the global marketplace as we look to further scale in 2023. Market turmoil during the second quarter severely exposed certain stablecoin model, that while  to currencies like the US dollar use a variety of algorithmic methodologies and non-liquid or risky investment strategies. Here is something that's very important to note. At GreenBox, we ensure that our stablecoin Coyni has available existing reserves in a custodial account to secure liquidity under any scenario, should anyone want to exit at any time. This means that users of Coyni always have the dollar-for-dollar assurance of their assets being available. And as proof of this essential distinction, in the second quarter, we became one of the industryâs first to ensure real time custodial account at the station via lengthy review process of IT, compliance and specifically SOC 2 compliance certification from Armanino, a top US accounting consulting and technology firm. We consistently challenge the stablecoin industry for improved processes, and to 100% fund custodial account and attest in real time two elements that many stablecoin structures do not offer, but that we deem are vital to the industry's long term success. So while our company has a diverse set of outstanding payment solutions, because of this critical differentiator, we view Coiny technology as a significant long term growth driver for our business. Another partnership in which we have seen major progress in Q2 is with the Territorial Bank of American Samoa, TBAS. After being named the exclusive payment technology provider in 2021, we are now deploying our plan of providing digital payment solutions in this US territory. Here, we have a closed loop ecosystem that is mostly reliant on cash transactions and tracking these with pencil and paper being catapulted into tech driven GreenBox solutions that offers secure, state of the art high speed transactions, delivering merchants and money transmission services, credit and debit card processing and more. Given the recent exit of a second bank in American Samoa, TBAS is now the only banking institution remaining on the island, allowing for greater GreenBx growth. We have now achieved about 13% market share for this island territory, all gained during the second quarter. This showcases our agility and ability to use our unique technology to serve all types of customer needs. We firmly believe TBAS will prove to be the ideal model market for our Coyni platform to implement the same offering to other similar close loop geographies. As we've previously discussed, at the end of Q1, we completed the acquisition of Transact Europe or TEU. TEU is a vital piece of our growth plan, enabling us to effectively deliver the advantages of our customersâ payment solutions technology to European and UK merchants, and begin foreign exchange transaction processing. It also serves as a gateway into the Asian market. During the second quarter, we have focused on infrastructure and packaging our key offerings to maximize the immediately available business building opportunities. Several key strategic initiatives are being deployed to drive growth from this acquisition and are on track to produce revenue growth in the second half of the year. This, coupled with the purchase of the Sky Financial portfolio at the start of Q2, will generate a significant processing volume portfolio for the balance of 2022. As we've grown in Q2, so has our Board of Directors, with the appointment of Adele Hogan, a highly experienced and well respected transactions lawyer. Adele has already proven material to our recent acquisitions and securities compliance successes, and will be an important contributor to any M&A and dividend plans in the future. In anticipation of our continued growth and evolution of the public company and indicative of our continued commitment to strong governance practices, we have also transitioned our auditors to Simon & Edward, an Alliance member of BDO. This provides an overview of our accomplishments during the second quarter. I'll now turn you over to our Chief Financial Officer, Ben Chung, to walk us through the details of our financial results.
Ben Chung: Thank you, Ben. I will limit my portion to key results of our financials. A full breakdown is available in our 10-Q filing and in the press release that was distributed after market closed today. Please note that I'll be referring to adjusted EBITDA and other non-GAAP measures. For the calculation of adjusted EBITDA and other non-GAAP measures, please refer to the MD&A, which is available in our 10-Q filings, which you can find on our website under SEC filings. We continued to see solid net revenue growth due to increased processing volume with our merchants and we will continue to have growth in our processing volume throughout the year. Our net revenue increased by $0.8 million or 6.6% to $11.9 million for the six months ended June 30, 2022 from $11.1 million in the prior year same period. Our net revenue increased by $0.6 million or 9.2% to $7 million in the second quarter of 2022 from $6.4 million in the same quarter the prior year. The increase in net revenue was due to the increase in processing volume but offset by higher fees to gateways and ISOs. Gross profit for the six months ended June 30, 2022 was $5.2 million or 43.5% of total net revenue compared to gross profit of $8.2 million or 73.8% total net revenue in the prior yearâs same period. Gross profit in the second quarter of 2022 was $2.8 million or 40.5% of total net revenue compared to gross profit of $5.1 million or 79.3% of total net revenue in the same quarter a year ago. Our cost of net revenue and gross margin will be primarily driven by our negotiated commission structure with ISOs, which are our independent sales organizations and gateway fees. The decrease in gross profit was primarily due to the increased cost of revenue resulting from higher processing fees paid to gateways and commission payments to ISOs. I would like to now discuss our operating expenses. Once again, I would like to point out that our operating expenses are not directly correlated with our net revenue, primarily because of the scalability of our revenue from a small number of employees due to our technology and the business we are in. We distinguish our operating expenses into two categories: ordinary operating expenses and non-cash operating expenses. Ordinary operating expenses include marketing, research and development, payroll, professional and general expenses, while non-cash operating expenses include stock compensation expenses for employees and for services including depreciation. Our ordinary operating expenses were $15.4 million and $5.3 million for the six months ended June 30, 2022 and 2021 respectively, an increase of $10.1 million. Our ordinary operating expenses were $7.7 million and $3.1 million for Q2 2022 and 2021 respectively, an increase of $4.6 million. The overall increase was primarily due to an increase in general and administrative expenses related to increased headcount to support operations and sales growth, as well as heavy investment in R&D to improve our technology. Our non-cash operating expenses are primarily related to stock compensation expenses for employees and services and depreciation and amortization expenses. We ended with a net loss from operations of $15 million for the six months ended June 30, 2022 compared to $9.4 million in the same period the prior year. Other expenses decreased by $8 million to a net other income of $4 million for the six months ended June 30, 2022 from a net other expense of $4 million in the same period the prior year. Interest expense increased significantly for the six months ended June 30, 2022 as compared to the same period in the prior year due to the $100 million convertible notes issued in November 2021. We also recorded an income from changes in fair value of derivative liability in the amount of $18.7 million for the six months ended June 30, 2022 and none in the same period the prior year. Comparing Q2 2022 versus Q2 2021, other expenses decreased by $19.1 million to a net other income of $19.1 million for Q2 2022 from nil for Q2 2021. Interest expense increased significantly in Q2 2022 as compared to Q2 2021 due to the $100 million convertible notes issued in November of 2021. Amortization of the discount, fees and the fair value of liability associated with the notes were also contributing factors. Furthermore, the company recorded an income of $26.4 million from changes in fair value of derivative liability expense for Q2 2022 and none in the previous yearâs same quarter. The company sustained a net loss of $10.9 million for the six months end at June 30, 2022 or a negative $0.26 per basic and diluted share compared to a net loss of $13.4 million or a negative $0.43 per basic and diluted share in the same period the prior year. The company recorded a net income in the second quarter of 2022 of $10.4 million or $0.24 per basic and diluted share compared to a flat net income or zero cents per basic and diluted share in the same quarter a year ago. The increase in net income for the six months ended June 30, 2022 and decrease in net loss for Q2 2022 was primarily due to a decrease in change in fair value of derivative liability and offset by increases in research and development, general and administrative, payroll and payroll taxes and professional fees as we continue to add staff and infrastructure related to our growth. We ended our cash and cash equivalents balance of $20.1 million and restricted cash balance of $26.5 million as of June 30, 2022. Overall, we believe our financial position is strong and we remain well positioned for future growth and profitability. So with that, I'll now turn the call over to Min Wei, our Chief Operating Officer, to provide a review of business operations and outlook for the back half of the year.
Min Wei: Thank you, Ben. We highlighted several revenue generating channels in our recent CEO letter at the end of June. I'd like to take this time to take us through the material revenue contributors and provide an update before turning to our outlook for the second half of the year. Our Q2 volume across all the channels is North of $1 billion, about 50% ahead of our internal projection. This is a staggering 40% increase when compared to our Q1 processing volume of $754 million. In our acquiring business, including the recently added Sky Financial portfolio, Q2 volume was $769 million, which outpaced our expectations by over 38%. We expect our acquiring line of business to continue exceeding processing volume targets through the balance of the year. Next, ChargeSavvy contributed over 6% to our total processing in Q2, and it is currently tracking at 10% higher than the plan. When compared to the same period in 2021, this quarterâs volume is 64% better. Our ACH business reported $17.9 million in volume since the service went live in the later part of Q2. This was 35% ahead of our expectation for the quarter and it demonstrates great progress towards the $15 monthly volume to be elevated. We predict this business will represent 8% of our total 2022 business. Our FX and international payments business line, including Transact Europe, has the same significant momentum in the quarter with $184 million in business volume, of which $164 million is attributable to FX conversion and international payment transaction. The actual volume is more than double of estimates for the quarter. As Ben Errez mentioned, we launched our merchant service business in American Samoa this past quarter. As of the end of the quarter, we have  services with about 13% of the total number of target merchants on the island. We are currently on track to complete our phase one roll out by end of October, servicing 40% to 50% of the merchant base. Turning back to Coyni, allow me to provide an update on our roadmap and development progress. In Q2, we successfully deployed version 1.0 of the Coyni public data and complete the core development of version 2.0 , which is on schedule to roll out with customers already identified in the pipeline in Q3. We expect a good amount of volume to begin internationally at the end of that quarter. We expect to begin to see moderate volume for Coyni domestically in Q4 with international volume ramping up significantly, and contributing approximately 20% to our volume profile for 2022, while driving strong fourth quarter financial results. Looking ahead to the second half of the year at our KPI, we now expect to see the following: For processing volume, Q2 2022 set another new record as our best quarter ever, almost double the volume year over year, which brings our year to date volume for the six months ended June 30, 2022 to about $1.8 billion; we look forward to a continuation of this trend during the second half of the year with new processing volume records in each subsequent quarter; we remain confident that we will process at least $4 billion for the total of 2022. Revenue from processing in Q2 is about $7 million as we saw margin during the quarter increase by 21% compared to Q1. As previously mentioned, we are planning for a solid ramp up in revenue during Q3 and Q4, as ACH and Coyni business volumes continue to grow in addition to our traditional payment processing revenues. For adjusted pro forma EBITDA, we now believe will breakeven in Q3, which is a significant improvement as compared to Q2âs negative $4.9 million. And we project Q4 to be a minimum of positive $3 million. In terms of operating cash flow, we expect to turn positive starting in Q3. So operationally and from a growth trajectory standpoint, the landscape is very promising. I'd like to now turn the call back over to Ben Errez before we begin our Q&A.
Ben Errez: Thank you, Min. Before moving to the Q&A, I'd like to address any concern pertaining to the $100 million  outstanding, such as the maturity date and the coupon costs weighing on the company cash flow. We have been in ongoing negotiations to modify the notes and are pleased to report that we have agreed to terms in principle to the satisfaction of the executive staff and the Board of Directors. We ask that you stay tuned for a full disclosure of the amendments to the note that is currently being prepared and will be shared in a separate SEC filing. Also, I'd like to reiterate some key points from our recently issued CEO letter that are worth highlighting. We are cognizant of and continuously monitor industry development, the implications of the competitive landscape and the overall business environment. While there has been a significant disruption in the cryptocurrency and the financial technology industry this year, GreenBox's focus remain on building the infrastructure, partnership, communication and technology to achieve our long term business objectives. We remain highly confident in our ability to create differentiated, customized financial transaction technology and deploy it at scale. Despite the depressed stock price, our commitment to rewarding shareholders is unwavering. And we believe as we continue to build GreenBox into a disruptive financial force, we envision it will ultimately be reflected in a long term sustainable value for our shareholders. Thank you for your commitment to GreenBox. We are truly grateful for your ongoing support.  With that, I'd like to begin our Q&A session. In addition to Ben, Min and myself, other members of our executive leadership team, including our CEO, Fredi Nisan; and CMO, Jacqueline Reynolds, are on hands to answer your questions.  Operator, please guide us through the question-and-answer session. Thank you so much.
Operator:  Our first question comes from the line of Howard Halpern with Taglich Brothers.
Howard Halpern: Great job navigating these tough waters right now. But my first question is in regards to what was talked about just towards the end about driving EBITDA to breakeven and then positive. How is that going to be driven by reduced gateway and ISO costs, reduced G&A expense? How should we model and profile that move from what you had in this quarter to the third quarter and to breakeven, and how that's going to happen?
Ben Errez: First of all, Howard thanks for your continued support. Min Wei, our Chief Operating Officer, will take this question. Min, go ahead.
Min Wei: So as we continue to build momentum across all the major revenue channels, we expect to see increasing volume in the main acquiring business, as well as ACH channels, FX and international payments channels. So we expect to see rising revenue, while being able to sustain and control cost.
Howard Halpern: And in terms of how the launch is going with American Samoa, how should we look at it in terms of you say, right now, you've got 13% market share. What should we expect the ramp to be in the second half of the year and into the first half of next year as you gain momentum there?
Min Wei: So we have a very deep great relationship with TBAS, we work closely with a senior leadership at a bank. We have already charted out the merchant bank on the island. As indicated earlier by end of October, we expect to get 40% to 50% of the merchant base on island. And we already have plan to go beyond even phase one to continue to ramp up, because the only -- we can actually have only exclusive banking relationship with TBAS that is the only bank on the island. So we do expect to see revenue ramp up and improve contribution margin from that particular business project.
Ben Errez: I will add to that our activities in American Samoa should be considered as a large scale test case for other close distances. And we anticipate that they and we already are working on additional such systems who are closely monitoring the success over there. Within one quarter  to 13% of market share and anticipating growing that to 40% minimum in the third quarter of the year is a major achievement. The American Samoa is an amazing opportunity for the company and we intend to capitalize on it to the largest extent that we can.
Howard Halpern: And from my understanding of what you said, you actually have the growing pipeline of interested parties that are monitoring your activities in American Samoa to make sure everything is -- it's a closed loop, locked up tight. And once proven, you'll be able to green light many more projects hopefully by the second half of next year?
Ben Errez: That's exactly the case, we anticipate exactly that.
Howard Halpern: And one last one on the acquisition of TEU, when you talk about it being a gateway to Asia, but you've been building the infrastructure. Do you still have a ways to go building that infrastructure before you deploy sales team, or to try to break through and get into the Asia Pacific market?
Ben Errez: I'll let Min Wei again, take that. Go ahead.
Min Wei: Howard, what we do is we take a very kind of mature in business development and sales approach, we build a sales pipeline, we identify strategic channels and the partnerships. And as we implied and layout additional opportunities and the peripheral business we can ramp up, and those will be executed in accordance with our business realization process. So having a lot of momentum in the European market, we started seeing rising interest both in North America, as well as Asia Pacific leveraging the trends in Europe, business platform and licensing. So that's how we approach it.
Ben Errez: I will add to that, to your questions with regards to the gateway to Asia Pacific. I state in other calls and earlier on this call that the company is looking very closely at opportunities on the M&A , both in Europe and in Asia Pacific. And we think that the great opportunities are waiting for there -- for us over there. Most of those are designed to operate through the pipeline in Europe that we already own and , but we are looking at other opportunities in Asia Pacific as well.
Howard Halpern: One last one, since you mentioned the M&A potential. What are you seeing out there in terms of what multiples are compared to maybe even this time last year or the end of the year, have they gotten more reasonable?
Ben Errez: I think you're asking that question, because you already know the answer. It is true. We do see the global landscape accommodating the current situation. We see shrinking channels for capital increase cost of capital, and as such the market has reacted and multiples have come down significantly. We think that that could actually lead to opportunities, and we're following that with redoubled efforts.
Howard Halpern: Well, congratulations on navigating this tough environment, and keep blocking and tackling and keep moving forward.
Operator:  There are no further questions in the queue. I'd like to hand the call back over to Mr. Errez for closing remarks.
Ben Errez: Thank you, operator. Before concluding this call, I would like to give a special thanks to Ben Chung. This will be Ben's final earnings conference call with us. We appreciate all that he's contributed over the last 15 months with us, and wish him the best in future endeavors. Additional information will be forthcoming in a press release and associated SEC filings starting tomorrow morning before market opens. Thank you all for joining our earnings call today. We look forward to continuing to update you on our ongoing progress and growth. If we were unable to answer any of your questions, please reach us on our Web site or directly to our IR firm, DMZ Group, and we would be more than happy to assist.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your line at this time, and have a wonderful day.